Operator: Excuse me, everyone, we now have Sean Reilly and Jay Johnson in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of the company's presentation, we will open the floor for questions. [Operator Instructions] In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals, plans, and objectives, including with respect to the amount and timing of any distributions to stockholders and the impacts in effects of the COVID 19 pandemic on the company's business, financial condition, and results of operations. All forward-looking statements involve risks, uncertainties, and contingencies, many of which are beyond Lamar’s control, and which may cause actual results to differ materially from anticipated results. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the company's first quarter 2022 earnings release. And its most recent annual report on Form 10-K. Lamar refers you to those documents. Lamar's first quarter 2022 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures was furnished to the SEC on a Form 8-K this morning and is available on the Investors section of Lamar’s website www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean Reilly: Thanks Bobby. Good morning all and welcome to Lamar’s Q1 2022 earnings call. The year is off to an excellent start. Our ability to reach audiences on-the-go with powerful messages at competitive rates is clearly resonating with advertisers. As a result, the trends we have seen since the rebound from COVID began tightening inventory, better pricing, and a real appetite for our digital platform, have continued. Our first quarter revenues were ahead of expectations, with strength across nearly every top category and all geographies. Billboard revenues increased more than 17% on an acquisition adjusted basis, with our transit and airport businesses improving even better. While expense growth was elevated for the reasons we noted in our fourth quarter call, both our adjusted EBITDA and AFFO grew more than 25% in the quarter, both adjusted EBITDA and AFFO per share we're well ahead of pre-pandemic levels. Sales patience for the balance of the year are strong and we're not seeing any signs of a macro slowdown in our book. Given that, we are raising guidance for the full year AFFO per share to $7.20 to $7.35 and management will recommend a $0.10 per share increase in our distribution to $1.20 per share beginning in Q2. Categories of particular strength in the first quarter included service, retail, gaming, financial, and education. Importantly, amusement and entertainment is back to 80% of pre-pandemic levels and it appears we're going to have a strong year with political as we are pacing well ahead of the same point in 2020. Occupancy across the analog platform has tightened further and we are driving rates as we said we would. Average daily rates on our analog panels were up mid to high single-digits versus the first quarter of 2020 and I'm confident that we will continue to drive rate as 2022 unfold. The digital story, meanwhile, remains very powerful on a consolidated basis. Digital revenues were up nearly 28% year-over-year, with sales up more than 20% on the same-store basis. We added more than 90 digital units to the portfolio in the quarter through both conversions and acquisitions and we have more than 100 additional units on order today, most of those should be deployed before the fourth quarter. We intend to continue to build out our network aggressively. We remain active in the M&A market as well. As you saw this week we acquired Burkhart Advertising, the leading out-of-home platform in South Bend and the rest of Northeast Indiana. Burkhart is one of the oldest and most highly regarded companies in our industry and we were honored that the Miller family trusted Lamar to build on what they have established. With that deal, we have completed more than $200 million worth of transactions so far in 2022 and there's more in the pipeline. That said, we should exceed the -- over $300 million of transactions that we completed last year. All-in-all, we are executing at a very high level and I'm extremely excited about what's to come. With that. I'll turn it over to Jay, who will walk you through some more numbers.
Jay Johnson: Thanks Sean. Good morning everyone and thank you for joining us. Once again, we are extremely pleased with our quarterly results, which exceeded internal expectations, as well as consensus estimates for revenue, adjusted EBITDA, and AFFO. The company achieved AFFO growth for the sixth consecutive quarter, improving 30.4% to $1.50 per share on a fully diluted basis versus Q1 2021. In the first quarter, acquisition adjusted revenue increased 18.6% from the same period last year. Q1 acquisition adjusted revenue as well as adjusted EBITDA, both exceeded the first quarter of 2020, which was just prior to the COVID-19 pandemic and a record first quarter at the time. All of our regions experienced pro forma revenue growth in the mid to upper teens, with the exception of the West Coast, which grew by over 23%. Acquisition adjusted operating expenses increased 14.8% in the first quarter, driven primarily by variable expenses tied to revenue as well as corporate initiatives discussed on our last call. We anticipate expense growth will moderate as we progress through the year and decelerate each quarter sequentially as we compare against more normal operations, not impacted by COVID. Despite expense increases, the company expanded margins by 130 basis points over Q1 2021, resulting in one of our strongest first quarters from a margin perspective. Adjusted EBITDA margin was 42.4% versus 41.1% in the first quarter of 2021 and 440 basis points ahead of the same period in 2019. Adjusted EBITDA for the quarter was $191.2 million compared to $152.4 million in 2021, which was an increase of 25.5%. On an acquisition adjusted basis, the increase was 24.1%. Free cash flow in the quarter also improved, improving 25.2% versus the same period last year. We experienced acceleration in both local and national business across our portfolio for the fourth consecutive quarter. Our local and regional revenue improved 20.2%, while the national business including programmatic, increased 9.5%. Local and regional sales accounted for 80% of our billboard revenue in the first quarter, with growth outpacing the national and programmatic channel for the first time since Q1 of last year. On the capital expenditure front, total spend for the quarter was approximately $29 million, including $13 million of maintenance CapEx, and for the full year, we anticipate total CapEx of $170 million, with maintenance comprising $65 million. Volume in our acquisition pipeline accelerated in the second half of 2021 and has continued into 2022. During the quarter, we closed on $55 million of acquisitions and our pipeline is more robust than pre-COVID. We are optimistic that this year's activity will exceed 2021 and proved to be one of the most active in recent years. Given the strength of our balance sheet and lower cost of capital relative to our public peers, as well as private equity, we should remain extremely competitive on the M&A front. Furthermore, Lamar is in the process of converting to an UPREIT, an umbrella partnership real estate investment trust. An UPREIT is a common operating structure for publicly-traded REITs and should serve as an additional competitive advantage and execution of our M&A strategy. UPREIT transactions can provide an attractive tax deferred exit strategy for owners with a low tax basis, who may recognize significant taxable gain in the sale of real estate. We anticipate this conversion will be complete by the end of the second quarter. Turning to our balance sheet, which is a critical focus for the company. We are quite pleased with the financial strength of Lamar and our balance sheet is well-positioned going forward. We have a well lettered debt maturity schedule with no maturities until the AR securitization in July of 2024, followed by the revolving portion of our credit facility in February 2025 and we have no bond maturities until 2008. Net interest expenses totaled $26 million in the quarter, which is approximately $2 million lower than Q1 2021. Based on debt outstanding at quarter end, our weighted average interest rate was 3.3% with a weighted average debt maturity of 6.2 years. At March 31st, approximately 65% of our debt was fixed rate. Since December 2019, we've increased our fixed to floating rate mix by 20 percentage points as we recapitalize the balance sheet and to mitigate interest rate risk. We feel this is an adequate level of fixed versus floating in a sector highly correlated to changes in short-term rates. And once again, our balance sheet is well-positioned to perform through economic cycles. As defined under our credit facility, we ended the quarter with total leverage of 3.26 times net debt to EBITDA, which remains amongst the lowest in the history of the company. Our secured debt leverage was 0.89 times at quarter end and we're comfortable in compliance with both our total debt incurrence and secured debt maintenance test against covenants of seven times and 4.5 times respectively. At the end of the quarter, we had approximately $562 million in total liquidity comprised of $116 million of cash on hand and $446 million available under our revolver. The AR securitization was fully drawn with $175 million outstanding. As Sean mentioned and including this morning release, we increased our AFFO and guidance based on strong performance in the first quarter and the outlook for the remainder of the year. The revised AFFO guidance of $7.20 to $7.35 per share represents an increase of $0.17 at the midpoint compared to our guidance released in February. We anticipate the first and second quarters will be this year's strongest on a comparable basis. Now, moving to our dividend. We paid a cash dividend of $1.10 per share in the first quarter, which was a 10% increase from the fourth quarter regular dividend. Because of the company's improving AFFO outlook, management's recommendation at the upcoming Board meeting will be to declare a cash dividend of $1.20 per share for the second quarter. This recommendation is subject to board approval, and we will communicate the Board's decision following the Board of Directors meeting later this month. If the Board approves management's recommendation and assuming a $1.20 dividend for each of Q2, Q3 and Q4, Lamar's distribution for the full year will total $4.70 per share, which is 17.5% above the dividend paid in 2021 and represents a yield of 4.3% as of yesterday's closing stock price. Again, we are extremely pleased with this quarter's performance and are optimistic about the outlook for the remainder of 2022. Our balance sheet is strong and we maintained excellent access to both the debt and equity capital markets. A strong balance sheet is core to our operating strategy and serves as a significant competitive advantage. With our intense focus on the company's capital structure, Lamar remains well-positioned to take advantage of opportunities as they arise. I will now turn the call back over to Sean.
A - Sean Reilly: Thanks Jay. I'm going to hit on a few metrics that you're familiar with mostly focusing on digital, rate, and our verticals. On the digital front, we closed out the quarter with 4,025 digital units, most of those organic but some acquired. Digital is approaching 30% of our book of business and it's growing rapidly, as I mentioned, 20.8% same board performance, 28% overall platform performance growth. And clearly, we're going to continue to invest in digital and build that network out as fast as possible. Turning to rate, I quoted in my opening remarks against 2020, that 2020 Q1 was our, until this quarter, best quarter ever in Q1 and we're mid to high single-digits up on rate in our analog platform. If I compare it to last year 2021, poster rates are up 15% and bulletin rates are up 9%. So, we're very encouraged that our ability to drive rate in the environment that we're in today. And I think it's most instructive to compare against not 2021 Q1 but 2020 Q1 as a more normalized period. And again, mid to high single-digit rate increases across our analog platform. Looking at our verticals, strength really across everything; services up 24%, healthcare up 14%, retail up 22%, gaming up 23%, automotive up 12%, and as I mentioned, amusement, entertainment, and sports continue to rebound about 80% of Q1 2020 levels. Amusement, entertainment, and sports as a category was up 47% in Q1 over 2021. Financials up 30%, education up 30%, and for the first time in probably -- since 2007, real estate popped into our top 10 and is -- was up 20% over last year. It's worth noting that no single customer of Lamar represents over 1% of our book of business. So, we're truly highly diversified across 50,000 some odd customers. And again, no single customer represents more than 1% of our of our book of business. With that, Bobby, I'll open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Ben Swinburne with Morgan Stanley.
Ben Swinburne: Good morning, Sean, good morning, Jay. You guys are well.
Sean Reilly: Hey Ben.
Ben Swinburne: Couple questions. I'm sure it's last [ph] on you, Sean, you guys are a bit of an outlier, given how strong the business not only is, but looks ahead, metas freezing hiring just heard a lot of areas of incremental softness New York Times yesterday. Just wondering if you have any theories -- or what you're hearing from the field, because it seems like there's market share pickup going on for you. And hopefully, it's not just, sort of, a later recovery and says timing, but I'm just wondering if you have a sense of what's happening on the ground. And, in particular, mid to high single-digit rate growth? I mean, it's been a long time. Maybe, if ever that I can remember that much rate growth, what are your -- why are your clients -- your advertisers absorbing that? And what is the backdrop that's allowing you to put that through because obviously, that's pressure on their own P&Ls? And then just for Jay, why is M&A running so substantial? Are you guys pay paying more? Are sellers more motivated? Just curious why you guys are seemingly able to execute on more last year and now this year versus prior period? Thank you.
Sean Reilly: Thanks, Ben. Yes, so there is share shift going on. You've heard me over the years talk about, particularly at the local level, what's going on with traditional local media as they struggle with their audience. You see eyeballs eroding for local network affiliate, television, you see audience erosion for radio, and clearly, newspapers are struggling. So, yes, we're getting that. That business is coming our way. I can't wrap data around what I'm about to say, but I think there's also something happening in the world of digital on the small screen, what you see on your phone, mobile, social. The Apple crackdown on privacy and data has shifted dollars around in the digital world. And I think some of that is coming our way. And it doesn't take very much to move our world, right. And so when you think about issues around privacy and brand safety that are affecting how people feel about some of their social mobile spend, we don't have those issues and so I think some of that is coming our way. The other thing that's happening in digital -- on our digital platform is programmatic is providing real incremental demand. And so we're able to -- we don't quote rate and occupancy when we talk about our digital platform, but we talk about same-board yield. And 20% is -- that's a pretty gaudy number. So, yes, I think we've got secular tailwinds going on in terms of ad spend and market share coming on our away. As an industry -- I think the whole out-of-home industry is benefiting from that. If you look at our book, local was on a relative basis, stronger than national. And -- so I think that share shift is more prominent at the local level and that stands to reason. I mean, you cover some of those local media, and what's going on there. So that's what we're seeing. Rate, when I think about rate I look back 15 years. The last time, we were able to see this kind of rate increases it was the mid-2000s, right? And we haven't been able to talk about rate, since the Great Recession, and we've been living in a 2% world, a 2% world and we haven't really driven rate for a decade, and when we sit down and talk to our customers now they expect it. I mean, they expect the ask and we're asking. So it's pretty much as simple as that. You've got a decade of sort of pent-up rate expectations. We're going to benefit from that now that the expectation of inflation is everywhere.
Jay Johnson: And Ben, on the acquisition front, I think there are a couple of things. If you look last year, coming out of sort of 2020 still in the pandemic, there's a lot of sort of pent-up demand, what I would call it, where sellers who thought that they might sell in 2020. And then quite frankly our pipeline was pretty robust before COVID hit. They pulled their deals. And quite frankly, we were focused internally as well and we saw a lot of those deals come back last year. This year, I think a little bit -- we've seen that momentum continue. Some of it is still over. But I also think sellers are seeing how well the businesses have performed and their businesses are back, just as you see ours is and they decide to come to market. In terms of Lamar being successful, I think as we always have been on the acquisition front. I think it's because of our track record. I mean our acquisition team does a phenomenal job. They're prudent in their underwriting, but they're fair. And when sellers kind of list they know they're going to be treated fairly and that we're going to do our best as close quickly. So I think that's what's occurring. I think going forward, what will prove to our benefit is also rising cost of capital. We have some of the lowest cost of capital out there as debt costs rise I think that will really impact private equity and then as we -- as I mentioned in my comments, the conversion to an up-reach to provide another competitive advantage going forward. So we're very, very pleased with how the acquisitions have unfolded this year and we're very optimistic about the remainder of the acquisition front.
Ben Swinburne: Thanks, guys.
Jay Johnson: Yes. Thanks, Ben.
Operator: [Operator Instructions] Our next question comes from Richard Choe with JPMorgan.
Richard Choe: I just wanted to follow-up a little bit on the rate discussion. Do you think this is a kind of a onetime catch-up? Or do you think you can kind of continue to faster rate going forward? And then two, is there any concerns right now about the vacation/driving season as oil prices continue or gas prices continue to go up? And then I have another one.
Sean Reilly: Yes. Richard, I think there is some truth to that notion that, there's some catch up here, but I don't think it's one-time. When I talk to REIT investors, they are used to far longer-term tenant contracts. Our average length of contract is four months. So we get to have a rate discussion on average every four months. And that happens not at the beginning of the year, it happens ratably throughout the year. So while I think there is some truth to the catch-up, I think going forward, as long as we're in this environment. We get to have this -- again, this rate discussion every four months. Now on the sort of question of, what the summer driving looks like? Really, all I can say is our forward pacing's look really good. When I look at June compared to May, July compared to June, August compared to July and then moving into back-to-school sequentially every month is getting better. So if the driving season softens we're certainly not seeing it.
Richard Choe: Great. And then in terms of the digital platform, same-board was very strong and overall very strong. What kind of visibility are you seeing? And I know you've talked about it a little bit, but it seems like this -- there's a lot of demand that might give you a little bit more visibility than normal. Any color there would be great?
Sean Reilly: Sure. A couple of things to mention about our build-out this year, we are still seeing some supply chain disruptions. There are longer lead times in securing digital boards for continued conversions. And -- but we still think we're going to hit our goal of 300 by the end of the year. It's going to be close, but we think we're going to get there. And again, mostly, it's supply chain. It's certainly not demand. It is our shortest cycle sale when you think about the way our customers use our digitals and how they spend there. So you're not looking at longer-term contracts in terms of visibility. But what we do have is on our programmatic automated platform, we have DSP partners who have a real good glimpse into what their pipeline looks like. And they are telling us that it's going to be a good year that there's a lot of demand and there are new advertisers to out of home. These are customers that they're used to buying on the little screen, social mobile on your handheld. But they're moving our way. They are experiencing good results with what they spend on our big screens. So our visibility there isn't -- it isn't as crystal clear as what we see in our analog platform because of the shorter duration of the contracts, but our programmatic partners are feeling very good about the rest of the year.
Richard Choe: Great. Thank you.
Operator: And at this time, there are no further questions. I will now turn the call back over to Sean Reilly for closing remarks.
Sean Reilly: Well, great. Thanks all and thanks, Bobby. And we look forward to speaking with you again next quarter.
Operator: And thank you for joining today's Lamar program. This does conclude our teleconference. You may now disconnect.